Operator: Good morning, ladies and gentlemen, and welcome to Stingray Group's Q2 2026 Results Conference Call. [Operator Instructions] This call is being recorded on Wednesday, November 12, 2025. I would now like to turn the conference over to Mathieu Peloquin. Please go ahead.
Mathieu Peloquin: Thank you very much, [Foreign Language]. Good morning, everyone, and thank you for joining us for Stingray's conference call for the second quarter of fiscal 2026 ended September 30, 2025. Today, Eric Boyko, President, CEO, Co-Founder; and Marie-Helene Fournier, Interim CFO, will be presenting Stingray's operational and financial highlights. Our press release reporting Stingray's second quarter results was issued yesterday after the market closed. Stingray also issued a press release to announce the acquisition of TuneIn Holdings, which will be discussed on the call. This press release as well as the MD&A and financial statements for the quarter are available on our Investor website at stingray.com and on SEDAR+. I will now provide you with the customary caution that today's discussion of the corporation's performance and its future prospects may include forward-looking statements. The corporation's future operations and performance are subject to risks and uncertainties, and actual results may differ materially. These risks and uncertainties include, but are not limited to, the risk factors identified in our press release announcing the TuneIn acquisition and Stingray's annual information form dated June 10, 2025, which is available on SEDAR+. The corporation specifically disclaims any intention or obligation to update these forward-looking statements, whether as a result of new information, future events or otherwise, except as may be required by applicable law. Accordingly, you are advised not to place undue reliance on such forward-looking statements. Also, please be advised that some of the financial measures discussed over the course of this conference call are non-IFRS. Refer to Stingray's MD&A for a complete definition of reconciliation of such measures to IFRS financial measures. Finally, let me remind you that all amounts on this call are expressed in Canadian dollars unless otherwise indicated. With that, let me turn the call over to Eric.
Eric Boyko: Merci, Mathieu. Good morning, everyone, and welcome to our second quarter conference call for fiscal 2026. What a busy day we're having. Today marks a pivotal moment for Stingray as we're not only reporting solid Q2 results but also announcing the second largest acquisition and the largest U.S. acquisition in the corporation's history, TuneIn Holdings, creating an audio streaming and advertising powerhouse. This transformative acquisition is expected to greatly expand Stingray's global digital audio footprint, video footprint and accelerate its growth in streaming services and bolster its advertising offering. But before sharing with you more of the major highlights, let's review Stingray's continued achievement for the second quarter. Stingray's momentum accelerated with organic growth of 16.7% in Broadcast and Recurring Commercial Music, largely driven again by rapidly increasing FAST channel sales, where we have unmistakenly become the leading provider of music, ambience and music entertainment channels. During the quarter, we further expanded our premium advertising network by securing a second partnership with LG for additional supply and ad inventory. They will join Vizio in a growing portfolio of partners and we anticipate adding a lot more in the next year. We significantly diverse our FAST channel portfolio in Q2, launching 29 channels with Amazon Fire TV in the U.S., 7 on Roku USA and U.K. This builds our success on our recent Roku launch in North America, which are generating over 50,000 listening hours a day or 1.5 million a month. When we're looking at advertising revenue for the quarter, we achieved a remarkable growth of 55%, significantly surpassing our 40% target. This outstanding performance was driven by year-to-year revenue increase in Retail Media and, again, strong growth in our FAST channel sales. A couple of weeks ago, we announced the acquisition of DMI, a leader in music branding and in-store audio advertising. This represents a strategic transaction for Stingray because it expands our U.S. retail network by 8,500 Walgreens locations, and we reached 33,000 locations across North America. For the first time now, Stingray is officially the pharmacy network. We cover all pharmacies across U.S. and Canada. They consolidate our leadership position within the in-store audio advertising market and helps global brands reach and engage consumer in their shopping journey. We are pleased to welcome the DMI team to Stingray. And last, for the in-car entertainment segment, we recorded a double-digit revenue growth increase in the second quarter as new vehicles have progressively replaced older fleets. With the recently announced launch of the advanced karaoke experience for BYD vehicles, we expect this trend to continue. Altogether, revenues from our Broadcasting and Commercial Music division grew by 33% to $80 million this quarter, while Radio revenues declined less than 1% to $32.4 million. Our latest Numeris PPM ratings for summer 2025 highlight our strong momentum in Canadian radio, showing significant growth in our key markets. On a consolidated basis, we delivered growth of 21% to $113 million in sales, which is a record, and adjusted EBITDA improved by $16.3 million to $39.5 million. Now tuning to our TuneIn acquisition, a good play of words. Now turning our focus on the TuneIn acquisition. Given the strong progress we're making with key growth pillars and our strong free cash flow, we believe the timing is right to announce the second largest acquisition in the corporation history, TuneIn Holding. This acquisition will further strengthen Stingray's position as a global leader of audio and video entertainment and digital advertising sales. TuneIn is a pioneer in audio streaming content, serving 75 million active listeners each month and providing access to 100,000 radio stations and podcasts and music channels. With over 600 hours –- 6 million -- 600 million hours of listenership per month, we are the third most listened to channel in the world after our friends at the YouTube video and Spotify. TuneIn's digital content is distributed across more than 200 platforms in 100 countries and fully integrated in 50 in-car audio systems. Equally important, and probably what we're most excited, TuneIn has redefined the art of programmatic advertising via its strategic ad channel partners, reaching audience across our platform with innovative audio, display and video ad products. It's a growing ad segment, represents more than 70% of its revenues, with the rest coming from premium subscription. We are crafting an unmatched audio/video ecosystem by merging Stingray extensive technology infrastructure and content distribution capabilities with TuneIn's expertise in monetization, advertising technology and diverse content offering. We're partly excited about expanding our reach in the automotive sector, where TuneIn and Stingray have both established strong integration with leading manufacturers. We are confident that this highly transformative acquisition supported by the cost synergies within the next 12 months of closing will supplement our robust internal growth in digital advertising with our CTV and retail media offering and our car offering, delivering solid margin over time and building shareholder value. Overall, the transaction carries an enterprise value of up to $175 million, $125 million paid out at closing of the transaction by the end of '25 and an amount of $29 million to be paid post-closing. The deal is subject to the regulatory authorities of customary closing conditions. TuneIn is expected to generate an estimate of $110 million of revenues this year and $30 million of U.S. EBITDA, plus with a $10 million of synergies that we expect to come. TuneIn will continue to operate under its existing brand and be led by the existing management team. Combined business are expected to generate $560 million of revenues on a pro forma basis and an over $200 million pro forma adjusted EBITDA as of December LTM. We also expect our free cash flow to increase by 50% and to be above $2 per share. I'll conclude on our balance sheet, which remains solid even after these 2 pivotal transactions. We expect after closing of this transaction that our debt-EBITDA will be around 2.8, and we expect to deliver and be below 2 by December of next year or in the next 12 months. Reflecting our strong financial performance and our confidence in future cash flow generation, I am pleased to announce that the Board has approved a 13.3% increase in our quarterly dividend, raising it from $0.075 to $0.085. This decision underscores our commitment to delivering sustainable long-term value to our shareholders. I will now turn the call to Marie-Helene for a fantastic financial overview of the quarter. Marie?
Marie-Helene Fournier: Thank you, Eric. Good morning. [Foreign Language]. Revenues reached $113.3 million in the second quarter of fiscal 2026, up 21% from $93.6 million in Q2 '25. The year-over-year growth was mainly driven by greater FAST channel revenues and higher equipment sales related to the acquisition of the Singing Machine. Revenues in Canada rose 5.2% to $51.5 million in the second quarter of '26. The growth can mainly be attributed to higher equipment and installation sales related to digital signage. Revenues in the U.S. grew 57.9% year-over-year to $51.9 million in Q2 2026, reflecting higher FAST channel revenues and greater equipment sales related to the acquisition of the Singing Machine. Revenues in other countries decreased 16.2% to $9.8 million in the most recent quarter. The year-over-year decline was mainly due to lower subscription revenues. Looking at our performance by business segment, Broadcasting and Commercial Music revenues increased 32.8% to $80.9 million in the second quarter of '26. The growth was primarily driven by high FAST channel revenues and greater equipment sales related to the acquisition of the Singing Machine. For their part, Radio revenue decreased 0.9% to $32.4 million in Q2 due to lower national airtime sales, mostly offset by higher digital revenues. In terms of profitability, consolidated adjusted EBITDA improved 16.3% to $39.5 million in the second quarter. Adjusted EBITDA margin reached 34.9% in Q2 '26 compared to 36.3% in the same period in 2025. The increase in adjusted EBITDA dollars year-over-year can be attributed to higher revenues, partially offset by greater operating expenses, mostly due to higher cost of sales. By business segment, Broadcasting and Commercial Music adjusted EBITDA grew 24.8% to $31.2 million in the second quarter of 2026. The year-over-year increase was primarily driven by higher revenues. Adjusted EBITDA for our Radio business decreased 7.2% year-over-year to $10.2 million in the second quarter of 2026. Adjusted EBITDA for this segment was negatively affected by a higher proportion of digital revenues, which carry a greater cost of sales. Control over fixed costs helped minimize overall cost increases. In terms of corporate adjusted EBITDA, it remained stable at a negative $1.9 million in the second quarter of 2026. Stingray reported net income of $11.8 million or $0.17 per diluted share in the second quarter of 2026 compared to $5.8 million or $0.08 per diluted share in Q2 2025. The improvement was driven by better operating results and an unrealized gain on the fair value of derivative financial instruments. These factors were partially offset by the higher performance and deferred share unit expense related to an increase in the corporation's share price. Adjusted net income totaled $21.9 million or $0.32 per diluted share in Q2 2026 compared to $16.7 million or $0.24 per diluted share in the same period in 2025. The increase was mainly due to higher operating results and lower interest expense, partially offset by a greater income tax expense. Turning to liquidity and capital resources. Cash flow from operating activities totaled $24.3 million in Q2 compared to $19.2 million in Q2 2025. The year-over-year increase reflects higher operating results. Similarly, our business also generated a significant year-over-year increase in adjusted free cash flow. In the second quarter of 2026, it totaled $28.4 million compared to $21.1 million in the same period in 2025. The improvement can be attributed to higher operating results and lower interest rate. From a balance sheet standpoint, Stingray had cash and cash equivalents of $15.1 million at the end of the second quarter and a credit facility of $336.3 million. The credit facility consists of a $500 million revolving credit line, of which $162.1 million was available. After the quarter, we also finalized the financing for the TuneIn acquisition. We secured an additional USD 150 million term loan and extended our credit facility maturity by 1 year to November 2029. Total net debt at the end of the second quarter of '26 stood at $321.1 million, down $4.8 million from the end of last quarter as we continue to reduce our debt level. Combined with improved adjusted EBITDA over the last 12 months, our leverage ratio improved to 2.13x at the end of the quarter from 2.72x in the same period last year. Finally, we repurchased 311,500 shares for a total of $3.1 million during the second quarter under our existing NCIB program, which was renewed for another 12 months. We also made dividend payments of $5.1 million in the quarter to reward shareholders. As Eric mentioned earlier, our commitment to delivering shareholder value remains a top priority. In recognition of our strong performance and positive outlook, the Board has declared a quarterly dividend of $0.085 per share. This represents a 13.3% increase and reflects our confidence in our ability to generate sustainable cash flow for the long term. This ends my presentation. I will now turn the call over to Eric.
Eric Boyko: Merci, Marie. Thank you, everyone, for your time and remarks today. I think we're ready for our questions from our team. And again, we didn't have a chance, but thank you. Also, welcome to the TuneIn team. Very excited to have -- TuneIn is about 105 people. So very happy to have a larger family, and excited on working together and maintaining the high momentum that we have right now. So with this, we'll go to the question part. Merci.
Operator: [Operator Instructions] With that, our first question comes from Aravinda Galappatthige with Canaccord.
Aravinda Galappatthige: Congrats, Eric and the team, of the acquisition in the quarter. I'll start with a question or a couple of questions on TuneIn. First of all, can you give us a sense of what TuneIn's sort of revenue and profitability trajectory has been? I mean, clearly, the valuation multiples are attractive, but a sense of what the trend has been in recent years in terms of growth. And secondly, with respect to how it can help with your longer-term ambitions in car, can you just maybe connect that for us and then maybe help us understand how TuneIn can contribute to those aspirations that you have?
Eric Boyko: Two good questions. So their sales this year are -- they're $110 million. It's $80 million of advertising, $30 million of subscription. Right now, advertising is growing by 40% year-over-year, a very strong, aggressive advertising model. In terms of trend, they're finishing the second half of the year. So from June till December, the run rate is at $20 million EBITDA. So the run rate now is at $40 million. So they're really finishing the year strong. So we expect to start the next year very good. So excited about that trend. And we expect, again, strong, again, advertising sales growing by, again, 30%, 40%. Right now, the model is really well leveraged. The car. The car is for sure is what's most exciting. We are talking to 20 car manufacturers. TuneIn is talking also to 20 car manufacturers. The homerun or the holy grail is, I would say, every car manufacturer wants to monetize their audio system. For years, they were not making money with radio. For years, they never got a penny from XM Sirius (sic) [ SiriusXM ]. You saw the move about GM taking away Apple CarPlay. You saw the move of Tesla taking away FM. The cars want to monetize that segment. So we believe that we are well positioned to own what we call OEM radio. So I believe that every car manufacturer in the world, from GM -- GM, BYD, Ford, Toyota, our friends in Germany will have their own OEM radio. They'll call it Ford Radio. They'll call it Toyota Radio. And in there, you're going to have the Stingray music channels, just like XM Sirius (sic) [ SiriusXM ]. You're going to have the TuneIn player, and you're going to have access to the beautiful Stingray Karaoke. So I think the both of us coming together, we're really positioning ourself to be a global dominant player. And I wouldn't be surprised that in the next 5, 10 years that Stingray and TuneIn will be embedded in every car manufacturer in the world.
Aravinda Galappatthige: Can I just clarify your comment about EBITDA, the EBITDA run rate at TuneIn? Did you say $40 million -- you hit a run rate of $40 million? And are you referring to U.S. or Canadian?
Eric Boyko: Yes, U.S. So the run rate for the second half of the year, so from June till December of this year, the run rate is at $20 million. So the run rate at the second half is $20 million actually.
Aravinda Galappatthige: Understood. Okay. And just maybe one last thing on the dividend. I mean, it was a significant increase in the dividend. Are you -- I mean, how should investors kind of look at this? Are you sort of suggesting that you want sort of Stingray to be a growth plus income story where there is growth, but also your -- the returns to shareholders will remain as strong as opposed to just sort of a heavy investment theme? I mean I just wanted to understand that because it's been a while since you raised your dividend. I wanted to understand the signaling here.
Eric Boyko: Our deal with TuneIn is increasing our free cash flow by 50%. Our LTM free cash flow is at $1.40. We always said to the market we want to be between 20 to 25. We want to be kept in that range. But right now, with our free cash flow expected to be well above $2, we're still at a very -- at $0.34, we're still at a very low end compared to free cash flow above $2. So we'll see where the business goes. And again, like I'm mentioning, we expect that closing to be at 2.8 of debt-EBITDA and to be below 2 by December of next year in the next 12 months. So very accretive deal. Also, we don't -- I know we don't talk about it much, but TuneIn had $200 million of tax losses. So we're recuperating USD 25 million of tax losses that we can use starting right now.
Operator: And the next question comes from the line of Drew McReynolds with RBC Capital Markets.
Drew McReynolds: Congrats on the acquisition. Just a couple of follow-ups here, Eric. Just in terms of advertising and EBITDA, like obviously quite good. On the subscriber side, can you just provide an update on kind of what those revenues or sub trends look like? And also, can you just elaborate on TuneIn's ad platform and monetization expertise? Just want to kind of better understand what their better mousetrap is relative to kind of your current capabilities.
Eric Boyko: A very good question. So subscription -- the model of TuneIn in the last 5 years, and a great job by management, was to stay away from subscription and move towards advertising. So we expect -- right now, subscriptions are decreasing by about 5% per year. Our focus is not on subscription. Our focus is on monetizing every hour of listenership. And that's why we're seeing such very strong advertising growth of 40% and that will be for the future. So decreasing subscription, focusing on advertising. What they've developed is they have the reach. They have the ad -- they call it an ad stack. I don't want to get into details. But they're able to monetize very well both audio and video, and that's what we're excited. We have over right now because of our deals with LG and Vizio, what we call backfill. But we don't like it. We call it the advertising network. We have over $100 million of inventory right now that is unsold. So for the first project, and we've already started this morning, TuneIn will help us sell this unsold inventory on our FAST channels. Then, as you know, in retail media, we do a great job, but we have over $400 million of unsold inventory in retail media. TuneIn also right now is going to be helping us sell this unsold inventory. And we also have a lot of audio inventory like we have LG Radio, we have our Stingray Music app. So we have a lot of audio inventory that also TuneIn and the cars will start monetizing. so we see TuneIn as a great monetizing machine for Stingray that can be implemented right away. The positive sales synergies of this deal, we expect them to be anywhere from $20 million to $40 million. The margins right now, we can't elaborate, but that is -- we're more excited about the positive sales synergies of TuneIn selling on our platforms than we are about the OpEx synergies.
Drew McReynolds: Yes. Okay. No, that's good context. And maybe last one and then I'll pass the line. Obviously, on the Broadcast and Commercial Music recurring revenue, very strong organic and the advertising within that obviously strong as well. Just -- can you just for modeling purposes kind of level set here? Is this all kind of sustainable here into Q3, just obviously putting TuneIn's impact aside?
Eric Boyko: Yes, that's -- we have to be careful. Q3 last year was also very, very strong. So let's get back after the call for that one. Because last year, we had a very strong Q3. So I want to be careful with the -- again, for the year -- now you can imagine that all of the advertising sales will go in the same line and all subscription of TuneIn will go in the same broadcasting unit. But let's talk offline for that. I agree there'll be a lot of modeling to do with the TuneIn deal.
Operator: And the next question comes from the line of Jerome Dubreuil with Desjardins.
Jerome Dubreuil: Congrats on what looks like being a fantastic deal so far. You touched, Eric, on the subscription aspect. I'm not going to be putting too much time into that. But I'm wondering, in terms of the general momentum of the platform, if you can maybe discuss other growth metrics maybe in terms of monthly active users, just to assess the general momentum? And appreciating that it seems that by this -- this management team has been putting more efforts into margin [indiscernible].
Eric Boyko: Yes. One point that's surprising about TuneIn, which we were very -- and by the way, we've been talking to TuneIn for the last 3 years. So it's been a long deal in the making, discussion, partnership. So of TuneIn's listenership of 600 million, 80% is outside the U.S. 80% of their listenership is outside the U.S. But in terms of revenue, 95% of the revenues come from the U.S. market. An average hour in the U.S. will generate $0.08 to $0.10 an hour. If you look at Europe, TuneIn is not getting $0.003 because the programmatic advertising system is much more sophisticated in the U.S. and Canada and not as strong in Europe yet. So one of the key strengths here for us is in the future when we start monetizing that 80% of listenership across the world, which we'll be investing with both TuneIn -- and we'll need that advertising for the car business, a lot of the cars are in Europe -- we have a strong savings account for the next 5 years for us to increase that $0.003 in Europe and the rest of the world and to bring it to the $0.08, $0.10 range of the U.S. So that also is a very exciting growth portfolio for us. And the market will get there. Just -- we see the same thing with FAST channels. We sell -- our revenues per hour are much stronger in the U.S. and Canada and Australia than they are in Europe for now or in LatAm. So we're excited about that growth.
Jerome Dubreuil: Awesome. Second question for me is I want to touch on the second backfill deal that you announced with your results. I'm wondering if we should be expecting kind of a similar financial profile of the second backfill deal than what you have been discussing last quarter on the first one.
Eric Boyko: So with the backfill, we've -- I would say we're right now doubling to tripling our inventory. Like I said, I think we have – we are very -- right now, our biggest issue is the fill rate. We really need to build that machine that TuneIn has. And so, we're excited to see and we'll be able to quickly announce to the market what that -- how quickly we'll be able to fill all that inventory that we're getting from our TV manufacturers. We got Vizio, we have LG. We have 2 more coming on board. And now with the TuneIn monetizing machine or the mousetrap, like one of you called it, we're very excited to see how we can increase our fill rate, which is still very low.
Jerome Dubreuil: Great. And maybe last -- a quick clarification for me on the back of Aravinda's question in terms of the run rate of $40 million EBITDA in the second half of the year. Is there any seasonality dynamics that we should be considering? Or it's just a great momentum on the EBITDA for them as well?
Eric Boyko: What happened is that their machine -- TuneIn was able with their -- they're so efficient that TuneIn is now selling to third parties. So we help iHeart fill their -- some of their inventory and we help third parties fill their inventories, and you'll see deals being announced. So they're so efficient that they're even allowed to sell on third parties. And I must say that, that trend will not stop because we're getting a lot more third parties approaching us to be their advertising partner. And that is a very lucrative business. And the more reach you have, the more you get advertisers. And that seems to be the model and we're very excited about the prospect of the advertising growth.
Operator: And the next question comes from Stephanie Price with CIBC.
Stephanie Price: Congratulations on the TuneIn acquisition. I just wanted to ask a little bit more about the USD 10 million in synergies. It sounds like you're expecting significant revenue synergies from the deal. Is this embedded in the $10 million? Or is that primarily cost synergies that you're talking about with that?
Eric Boyko: Yes. It's -- we're looking at about -- we have about $10 million in OpEx synergies that will surely come over time just because of the way the companies are structured. As you can imagine, we have a lot of different functions. But what we're most excited are the COGS. Just in music rights, because we're much more of a music company -- we have about $4 million in savings in music rights just because we pay less margin. TuneIn is a third party. So we have big savings on music. And we have a lot of savings we see with ad servers. So there's another $5 million to $10 million in COGS savings, which, for us, will apply very quickly. So we're excited to establish those 2 in the next 12 to 18 months. But generally speaking, TuneIn is doing great. Their sales are double digit. Their EBITDA is more than double digit. I explained the run rate, in the second half of the year at $20 million EBITDA. So we're looking at much more of COGS savings, a bit of OpEx of certain position because there's duplication. And we haven't monetized yet, but -- the positive sales synergies that we see from this deal.
Stephanie Price: And maybe I'll touch on the other acquisition you announced post quarter end of DMI. Maybe you could give a little bit more color about what that acquisition brings to Stingray's Digital Media platform...
Eric Boyko: Yes. DMI in terms of financial – yes, DMI a very small -- it's a much smaller tuck-in. We told the market $6 million in sales, $2 million EBITDA. What we don't know is that DMI Group had a sales force. They have a strong sales force. We have a sales force in retail media. Like we always say, our fill rate is low. So we're excited that their sales force that they were selling only in Walgreens, will be selling in CVS, will be selling in Kroger, will be selling in Albertson and all the other stores. And we're excited. We already are -- we've already put in the last couple of weeks a lot of our sales in Walgreens. So we're getting a double sales positive. So we're more excited about that synergy, the positive sales synergies about this deal. And also, right now, we're the only retail audio media in the U.S. and Canada. So we really have positioned ourselves. Now our challenge is how do we quickly increase our fill rate. And one of the strategy is to work with TuneIn's partner and with their national sales force and their sales team. So excited to see how much TuneIn can help monetize all of this new location or inventory we have.
Operator: And the next question comes from the line of Tim Casey with BMO.
Tim Casey: Eric, can you talk a little bit about the monetization you're seeing on TuneIn now in terms of radio stations versus some of the video platforms that are on there, the sports deals, the podcast? Is this a play on local radio? Or is it on some of these other platforms? Because I'm presuming like the sports side would be lower margin because of the rights issues and whatnot. And then with respect to the growth, which sounds very strong, is there any investment you have to make in terms of technology or OpEx to drive that, that isn't there, that isn't in the model right now?
Eric Boyko: So a very good question. So they're able to -- in music rights, so whenever -- when you rebroadcast a radio station, there's no cost of goods sold because you're really just distributing. When you have our music channels like our -- the Stingray music channels, we pay about $0.03 an hour. So they're able to monetize both radio and they have TuneIn channels, which are like 70s and 80s at about $0.08 to $0.10 an hour. So that for us is great news because we're able to really monetize all that. They're doing it with different -- when you go on the app, they have pre-rolls, they have muted videos, and they're able to really well monetize both products. So it's exciting. And we'll get more in details of the different strategy for monetization. So -- and now good news -- TuneIn has a very extensive force of engineers. They have over -- like over 80 engineers in their team, about 40 in the U.S., 40 in Ukraine. They're very sophisticated. This company was built from the Palo Alto area. So I must say very impressive, robust. So for now, the biggest thing is there's not much to do with connecting their pipes. And they have about like 50 pipes of advertisers -- I won't go on the names and all the technology -- to our product and our inventory and how we speak to advertisers to explain how they can have access now to the Stingray inventory, our FAST channel retail media. So there is no investment to be done right now in terms of building a special technology project. So it's really just continuing what we're doing already. So that's why it's a quick integration.
Tim Casey: Would you not have to compensate the radio stations for the rebroadcast? I don't imagine that would be a huge number, but would there not be some sort of -- would they not generate revenue from this?
Eric Boyko: Yes, I won't go into exact details. But the answer is, when you rebroadcast, we do pre-rolls and then it's still the ads of the radio station that plays. But while you're playing -- while you're listening to Boom FM in Toronto and you listen to Boom on TuneIn, you have display banners, there's banners and display video. And those display video, they are muted. So you still listen to that channel while you're getting advertising. So that's why it is very, very -- their system is very -- creates a lot of revenue per hour. And I think, Tim, you had a good question. I think someone is -- in terms of the owners, TuneIn was owned by 40, 50 shareholders. It wasn't owned really by a PI Group. They had -- their shareholders were a lot of the big names coming from California and from Eric Schmidt, a lot of CEOs, CEO of -- even iHeart was an investor, the CEO of Salesforce. A lot of big names that you would know their names, but not me because I'm not as good. And also good news -- also Tom Hanks was one of their shareholders. So I'm happy. I'm supposed to -- I will have the chance to meet Tom Hanks. He has a few audio channels with us. So I'll let you know if ever I see Tom Hanks, Tim.
Operator: And I'm showing no further questions at this time. I would like to turn it back to Eric Boyko for closing remarks.
Eric Boyko: Okay. Thank you. I know it's a long call. We had a lot to cover with both the quarter and our 2 acquisitions. So thank you everyone for your questions and, again, the analysts for your support. And we talked to you a lot about –- we talked to a lot of you last night. So you guys really work full time. In summary, we're confident that TuneIn acquisition is a perfect fit to further Stingray's growth in its key pillars with significant expertise in ad monetization and a perfect companion to our in-car product offering. We are looking forward to sharing our progress in coming quarters. On behalf of the entire Stingray team, thank you for joining us on the conference call. We look forward to speaking with you following the release of our third quarter results for fiscal 2026. Have a great day. [Foreign Language].
Operator: Thank you. And this concludes today's conference call. Thank you all for joining. You may now disconnect.